Operator: Thank you for standing by and welcome to the Dassault Systemes Second Quarter 2014 Financial Results Call. [Operator Instructions] I must advise you that this conference is being recorded today. I would now like to hand the conference over to François Bordonado, Investor Relations. Please go ahead, sir.
François-José Bordonado: Thank you, Vivian. Thank you for joining, Bernard Charles, CEO; Thibault de Tersant, CFO for our 2014 second quarter conference call. We're also pleased to welcome Dr. Victor Allis, CEO of Quintiq. Hello, Victor. Several brief reminders. Dassault Systemes' financial results are prepared in accordance with IFRS. We have provided supplemental non-IFRS financial information and reconciliation tables in our earnings press release. Some of the comments on this call will contain forward-looking statements that could differ materially from actual results. Please refer to our risk factors in today's press release and in our 2013 Document de référence. Revenue growth figures are in constant currencies, unless otherwise noted. Now I would like introduce to Bernard Charles. Bernard?
Bernard Charles: Thank you, François-Jose. Thank you for joining us here and the webcast held earlier today. From multiple perspectives, our business progress is visible in our second quarter financial results and expands growing investment by customers in consultation on Mobility, and High-Tech, among others. Strong brand performances of CATIA and SIMULIA where softer revenue increased double digits in constant currencies. To improve sales performances across our channels, we are building up promising sales opportunities and increasing strategy dialogues with customers and potential new clients. Turning first to our brands. We are strengthening them with continued investment and we are also expanding our brand portfolio as we extend our addressable market. This past quarter, we unveiled a new brand, BIOVIA, for scientific innovation across chemistry, biology and material science. In simulation, we continue to selectively add important technology to SIMULIA as we did with the recent acquisition of SIMPACK for multibody simulation. We have said that manufacturing is a key focus area and over the last year have significantly expanded the scope of DELMIA. We are doing it so again today, with the proposed acquisition of Quintiq for business operation planning. We are delivering against our social industry experience strategy. During the second quarter, we introduced a number of new Industry Solution Experiences. Industry Solution Experiences are enabling us to have a more strategic dialogue with clients and these discussions are turning into new business opportunities as illustrated by several of the new wins announced this quarter. Finally, our performance this quarter well supports our full year financial objective, so we are reconfirming them on updating for the SIMPACK acquisition. So let's move to our second quarter in more detail. Our financial results were well in line with our objectives across the board. It was a solid quarter at the top line, thanks to our software revenue performance, well complemented by growth in services coming from our acquisitions. Each of our channel performed well to their phased plans. We are starting to see acceleration in organic software revenue growth, thanks to our new licenses activity, as well as recurring revenue. Our performance is benefiting from improving dynamics in our largest industry: Transportation and Mobility, as well as High-Tech, most notably. In total, software revenue increased 13%. On an organic basis, it increased 7% in the second quarter compared to 5% for the first half. CATIA and SIMULIA both had very good quarters. Headline gross rates for earnings per share do not tell you the underlying progress we're making this year due to the strong currency headwinds. Excluding currency non-IFRS EPS increased 13% in the second quarter and 10% for the first half. Turning to the regional revenue. Europe saw strong growth as reported on organically, in Germany, United Kingdom, Sweden, especially. In Asia, South Korea continued to have an excellent dynamic and India, good results, too. More broadly, with Q1, an important seasonal period for Asia. I could add Japan and China to this list of countries. In the Americas, we were encouraged to note a number of larger deal transactions in a diversified set of industries. All in all, our sales channel investments, and particularly for our direct channel, are starting to pay off and we are seeing evidence of this in our regional results. As I indicated last quarter, we have had a number of strategic wins and replicated the successes at a faster pace is what we are now focusing on. For our indirect sales channels, we are focused on increasing capacity on specialized industry on domain knowledge expertise. The improving dynamic by region is also visible in our brand performances. I will talk about CATIA shortly. Let me just say its software revenue increased 11% in constant currency. SIMULIA had an excellent quarter with softer revenue of double digit, largely organic. ENOVIA had a good first half overall with a number of key deals closing in the first quarter. In the volume market, SOLIDWORKS is also seeing an improved dynamic compared to 2013, visible in its software revenue increase of 8%, as well as new seed growth of 5%. Now Quintiq is globally tracking to expectation and with respect to Apriso, larger transactions are expected in the second half of this year. And I'll remind you the RTT now is now called 3DXCITE. Now a few words on how we are advancing our social industry experience strategy. First, as I mentioned, at the outset of my remarks, we are expanding our Industry Solution Experience portfolio with 40 at the end of the second quarter. We added 11 in Q2 alone, so a very active period for deliverables from an R&D and industry group standpoint. Our ability to offer a number of solutions On-the-Cloud, as well as On-Premise is enabling us to expand our audience. We have said that the cloud plus mobile is a market expansion opportunity for us, particularly in new industries, and some of our initial new business wins are demonstrating this. So we have a very different dynamic from what you see in other parts of the software industry. While it is about replacing the On-Premise solutions, for us, it's add on. Additional. For us, it's about expanding On-Premise and expanding On-The-Cloud. Two wins I would like to share with you this quarter: Barilla, the famous global pasta leader in the consumer packaged goods industry. As some of you know, they have been a client of ours and they are now expanding the relationship, taking our 3DEXPERIENCE platform on Perfect Package solution to help them reduce time-to-market, improve the quality of their packaging and enable improved process integration and reduce cost. BNP Paribas Securities Services is a first-of-a-kind win. We are -- why are we working with them? Very simply. They have products that they create and sell. So time-to-market, collaboration across different teams and complex business process issues regulated early and compliance are somewhat concerns for them. They have selected our 3DEXPERIENCE platform with our Factory Innovation Industry Solution Experience -- sorry, Factory Innovation Industry Solution Experience to speed up time-to-market by an estimated 20% and yes, financial service companies are people heading up product life cycle management initiatives. Our Industry Solution Experience is instrumental to changing the conversation with clients, turning them into strategic conversations where our sales team can address the key business concerns of our customers and prospects on more directly related to how our software solutions can help them. While we are changing the conversation, we are also expanding these to industries, companies and departments we did not reach before. Now let me talk about CATIA, our largest brand. Companies in Transportation & Mobility are increasing their investment in our solutions and this is happening around the globe. In addition, we are seeing a strong takeup from customers for our specialized CATIA applications. This present and important portion of new activity. In total, CATIA new licenses revenue increased 24% in the second quarter. Customers expanding their install bases in the second quarter include Hyundai, Kia, Geely, Renault, HELLA and Bertrandt. We unveiled our newest brand, BIOVIA, in May. Our focus is on scientific innovation for chemistry, biology and material science. The new brand combined the knowledge brought by Accelrys with our BioIntelligence activity. We started out the gate -- the world leader in this domain on with Max Carnecchia leading -- leadership as the CEO of this brand, and the great team of people coming together across our 2 companies, we see a very bright future. Near term, as Thibault outlined last quarter, we have some revenue headwinds from some legacy product winding down. Underneath this business with very attractive growth dynamic, moreover, our conversation with customers in different industries are already revealing the expanding opportunity for Dassault Systemes with BIOVIA. Turning now to SIMULIA. It had a very solid quarter with softer revenue up double digits. We continue to deepen our -- and expand its capabilities. Earlier this month, we announced the acquisition of SIMPACK, a technology leader in multibody simulation, with more than 130 clients in the energy, automotive and rail industries. A great addition, we welcome here Alex Eichberger, SIMPACK's CEO, and his team. Welcome, Alex. Now about the Experience platform. This morning, we announced the signing of a definitive agreement to acquire Quintiq, a leading provider of On-Premise and On-Cloud -- On-the-Cloud supply chain on operation planning and optimization software. Quintiq has a strong scientific focus. Similar DNA to Dassault Systemes with robust optimization organism [ph] that can be applied equally well across different industries on problem sets. With its solution, we will enrich our 3DEXPERIENCE platform to enable global business operations planning, so as you can notice, it goes beyond the DELMIA scope. At the same time, the proposed acquisition also expands our DELMIA brand portfolio in a significant manner. Our vision for DELMIA is comprised of 3 principal components: Digital manufacturing, working together to help our clients plan their manufacturing facilities with their virtual world of digital manufacturing; Manufacturing Operation Management, MOM, is to manage their plans to their key metrics and objectives; and operation planning and optimization, to plan and optimize all aspects of the company's operations. Our initial DELMIA application served the first part. Apriso, which we acquired last July, brings us the second component. And now, with Quintiq, we have the strongest technology to help companies announce their supply chain planning and optimization. Let me turn the call over to Dr. Victor Ellis, Quintiq's CEO, to provide you with an overview of the company. Victor, welcome again. I'm so pleased that we could announce this today. Please go ahead.
Victor Allis: Thank you, Bernard. When I cofounded Quintiq, we set out on a mission to solve complex operational planning puzzles. We wanted to do that by designing a software platform that was robust enough to solve these puzzles while being applicable to many planning challenges in many different industries. Today, Quintiq software solutions address all aspects of planning and optimization. Specifically, our software is used for planning puzzles ranging from production planning and scheduling to logistics routing and dispatching, to workforce scheduling and rostering -- all with a single, highly configurable application. Let me share some examples. In Transportation & Mobility, we work with well companies to manage a wide range of gulfs like maximizing on-time performance, complying with regulations on working hours and adjusting for workers' preferences. In Aerospace and Defense, our customers include organizations such as the Federal Aviation Administration in the United States and many others all around the world. In consumer packaged goods, companies such as Danone, Amy's Kitchen and SIG Combiblock use our software for production planning, scheduling and workforce optimization. In business services, our solutions help package delivery companies like DHL to determine who should deliver which package, with which truck, at what time. If you receive a DHL package, chances are that we have something to do with it. And in retail, we work with the market leader like Walmart to decide which driver will pick up which loads when, to ensure that all of their 4,000-plus stores in the USA get all deliveries that they need. And finally, let me share our perspective as to why we wanted to combine with Dassault Systemes. From my comments, it should be clear that we share common DNA. I speak about puzzles because Quintiq's technologies enable our customers to do a complete model of their business operations, including planning, logistics and workforce assignment and optimization, complementing well the DS technologies enabling the complex digital mockup of product. Today, Quintiq brings record-breaking decision support and optimization technology to the most complex global business planning challenges. And together with Dassault Systemes, our objective is to bring to our customers new levels of innovation, operational efficiency and performance. And at this point, let me turn the call back to Bernard.
Bernard Charles: Thank you, Victor, and I know that all this was possible, thanks to your great leadership and the will to be with us. I look forward to warmly welcome the entire 800 talented people from Quintiq shortly and we have some work to do, of course. To conclude, but I think we are both excited with the perspective. I'm sure Thibault would like to review the financial result now and give you much more comprehensive detail. Thibault, go ahead.
Thibault de Tersant: Yes. Good afternoon, and good morning to you, all. My comments today are based upon our non-IFRS financial results. In our press release tables, you can find the reconciliation of our non-IFRS to IFRS data. In addition, revenue growth rates are fitted in constant currencies. Let's start with our software revenue. New licenses revenue increased 13% in the second quarter and so did organic new license revenue growth of 7%. Europe led this performance and from a brand perspective, it was CATIA with new licenses revenue, up double digit. All organic. Recurring revenue increased 12%, benefiting from acquisitions and reflecting strong maintenance renewal rates. Rental performance was led by SIMULIA, as well as benefiting from some catch-up payments. Acquisitions were the driver of growth in services revenue, which increased 34% in the second quarter. With their higher margin profile, they also drove the gross margin result of 21.7%, up from 10.8% in the year-ago quarter. Improvements in our core services business also contributed to the year-over-year increase. In total, the services gross margin improved almost 12 percentage points for the first half of 2014. Turning now to our operating performance. We have made very good progress, which currency depreciation has done, unfortunately, a good job of hiding. As the CFO, I hope you will indulge me as I share the reality and get underneath the headline figures. In February, we indicated that our focus during 2014 would be on increasing the organic operating margin by about 150 basis points. We made good progress in the first quarter and further advanced our goals during the second quarter with an increase in the organic non-IFRS operating margin of about 260 basis points. And we made very good progress in total for the first half. Excluding currency effects, our non-IFRS operating margin was also stable in comparison to the 2013 period. So our organic improvement largely balanced out the diluted impact of acquisitions. Looking at the bottom line, non-IFRS EPS increased 2.4% as reported, about 13% in constant currencies in the second quarter. We have a similar impact on our first half where non-IFRS EPS would have been up 10%, excluding currency. Moving now to cash flow. Just a few comments. First, our net operating cash flow was roughly stable for the quarter and the first half, slightly increasing in both cases, to EUR 172.4 million and EUR 354.6 million, respectively. And then on the revenue, increased 10% on an organic basis and excluding currency effect. Looking forward, just a reminder, working capital is absorbed in tax reassessment payments. Recall that we made a lot of payments in the first quarter of about EUR 20 million and looking ahead, we may have a more substantial payment, which we are, of course, defending and we also believe that our defense is very sorry but we'll still have to do the payments for these reassessments. DSOs were generally well in line with our expectations. Turning now to our guidance. There are several key points I would like that you would keep in mind. First of all, we are reconfirming our 2014 financial objectives and updating for the addition of SIMPACK. Second of all, we are continuing to target double-digit organic new license revenue growth for the full year. Third, we are continuing to target organic operating margin improvement on the order of 150 basis points for the full year. Turning to our specific guidance. Our 2014 revenue growth objective range remains at 14% to 15% in constant currency. The reported revenue range is tightened around the high end of the range from EUR 2,290,000,000 to EUR 2,300,000,000 compared to EUR 2,280,000,000 to EUR 2,300,000,000 previously. The addition of SIMPACK is assumed to add about EUR 5 million to our revenue in this second half. At the operating margin level, the non-IFRS operating margin objective range is unchanged at 29.5% to 30%. And the EPS level, we are making the high end of our objective of about EUR 3.50 in non-IFRS earnings per share from our former expectation of EUR 3.45 to EUR 3.50. Adjusted now for the stock split, our EPS objective for the year is now EUR 1.75. This represents a growth rate of about 8%, excluding currency effects. In our earnings press release and presentation, we have given our third quarter objectives. And finally, let me share some further details on Quintiq. For its fiscal year 2013, revenues totaled approximately EUR 17 million with about 60% software and 40% services. We are expecting to complete the transaction in September and will include it in our financial objectives at the time of our third quarter press release. The purchase price is EUR 250 million. From an operational perspective, we expect Quintiq to be neutral to our non-IFRS EPS in 2014 and to be breakeven on a 12-month forward basis, beginning from the 2014 fourth quarter. Quintiq's strong revenue growth has been reinvested by the company in putting in place an infrastructure and organization to support it into the future. Let me now turn the call back to Bernard.
Bernard Charles: Thank you, Thibault. Two years ago, we introduced 3DEXPERIENCE on our social industry experience strategy. We made significant progress putting our vision into place. With the first half of 2014, key components of our plans are well underway with: one, the introduction of our 3DEXPERIENCE platform on Industry Solution Experiences, on first set of cloud mobile solutions; second, the transformational work in our direct sales channel, which is showing first signs of pay off; third, the additional of key acquisition expanding our addressable market, user base and portfolio of brands. And fourth, the announcement of our global operation to support our growth and improve our processes; finally, with product life cycle management, Dassault Systemes has been integral to our clients' design, engineering and manufacturing environment. With 3DEXPERIENCE, our objective is to be integral to the entire breadth of our clients' business enterprise by providing them with comprehensive environment to model, simulate and optimize their business performances. We would like now to take your questions and be, of course, very happy to address them.
Operator: [Operator Instructions] Your first question comes from the line of Jay Vleeschhouwer from Griffin.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: This is Zach Ajzenman for Jay. The first question, at the Analyst Meeting last month, Dassault noted that the #1 priority is to acquire new users and customers. Would it be fair to say that the bulk of this new user activity would occur outside of the core CAD and simulation brands? In other words, in acquired brands and applications and perhaps in ENOVIA as well?
Bernard Charles: Well, thank you for your question. I think clearly, obviously the growth of both CATIA fully works, SIMULIA, could be considered both outside and inside, depending about how you want to look at it. If you look at the use of CATIA, for example, in packaging, like Perfect Package, you might consider this as an expand -- as to conquest new users our outside traditional activities. But I think the reality is we are acquiring users in all industries and for multiple roles. So I would not characterize our strategy being only to acquire outside what we have been doing before because we continue to strengthen our position in our flex core traditional industries and activities like engineering, manufacturing and on production.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay. When we consider the confluence of automotive and electronics and more broadly the role of systems design, and what is often called megatronics, how important is it to you to have and offer an electronics design portfolio?
Bernard Charles: In this area, we are probably the most advanced in the world, by far, because this is a topic we have started to address already 6 years ago. Many, as you may know, on the V6 architecture, the very core value of CATIA has gone beyond design of shapes or design of very complex system, but very complex assemblies. The core of CATIA V6 with 3DEXPERIENCE is system modeling. We support the AUTOSAR startup in automotive. We support the capacity to do holistic design, of system design, from requirement functions on logic, on physics. And it's really part of the future world of CATIA, which is being now expanding in our existing installations from the past where it was both in traditional, for example, in automotive industry, traditional body in wide chassis engine, et cetera, while we go in electronic control of the engine, electronic chassis control, so-called megatronics. So we are there. And if you remember, we acquired Geensoft, which is the best, most advanced software component for AUTOSAR compliances. And we have many, many things going on in this area. So it's the core of what we call CATIA V6. Now if you look at the system from a pure chip design or a pure board design, we don't plan to really go at the chip design level, while you must remember that 18 out of the 22 chip foundries are using ENOVIA for IP management, meaning to manage the content of what they put on the chip. But if you have in mind, the pure chip with board design, this is not in the plan.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Okay. Could you comment on the relative performance of the BT and value channels and what your guidance assumes about each?
Bernard Charles: Just to give you a generic statement and if Thibault wants to provide more data. But the bottom line is, both performed well. I think we have different kind of challenges to continue to expand. We are conforming the engagement process with our clients because we are talking about a business experience with 3DEXPERIENCE platform. That's for the channel, which we call the last enterprise direct channel. When it comes to the value solution channel, our challenge is more to build up and ramp up with new partners. We have a lot of new partners who have joined the club and willing to help them understand, get access to the knowledge of our products and be able to really sell them properly. And this is a challenge. At the center, as of the same time, if we address it well, a great opportunity. So as you can notice, there are different types of -- but the both have been doing good job there in the first half.
Zachary R. Ajzenman - Griffin Securities, Inc., Research Division: Great. And lastly, for Quintiq, based on the 2013 revenues you've indicated, they would seem to have a fairly low average revenues per employee, lower than for Dassault itself. What is the potential for materially scaling that number?
Bernard Charles: First of all, with Quintiq, as I've said, on Victor's leadership, on his executive team leadership, we have looked at our alliance on new foundations. Basically, we are conquesting -- we think that many companies will move from transaction-based companies to model-based companies and that those companies we need for the business optimization to be model based, meaning having the model, simulating the model and optimizing it. This team around Victor of 800 talented people are extremely talented to understand what it is. They also share the passion of science inside software, not only piece of software. Now the balance that they have been having between software and service is normal if you, as I do, look at Quintiq as an absolutely game changing, almost a hundred -- almost a thousand people startup, because they're attacking a market that was supposed to be well served, which we think, it's not well served. And we think that we can change the way companies optimize their business processes and this is their belief. They have convinced me end this was my dream for years. When we started 3DEXPERIENCE platform, we were touching that. With Quintiq, we are really in the middle of it. So I can tell you that the balance that you are referring to is well understood. We love those talents, they know what we don't know what we don't know at Dassault Systemes and they are going to be part of the family to really evolve with the center of gravity on what we do, from being highly sophisticated engineering simulation and production to go to the biz-associated business model. And therefore, the answer to your question is going to be quite obvious for us because it's going to be part of solution delivery on this 3DEXPERIENCE platform, plus the production side on the DELMIA side. So we think that we can relatively, in the next years, conform that dynamic and they know how to conquest and convince new customers in a market that is supposed to be well served. So I love this leadership and I think they have done an outstanding job.
Operator: Your next question comes from the line of Tal Grant from UBS.
Tal Grant - UBS Investment Bank, Research Division: I have 2 questions. Again on Quintiq. You said it's at EUR 70 million last year, 60% software and 40% services. I was just wondering what the split was in software between license and maintenance. And also, I know it sounds that they approached you, but if you could disclose maybe any background on the deal in terms of time to completion and competition, if there's any competition apart from you guys? And my second question is just around the pipeline for ENOVIA and H2, how is that looking?
Bernard Charles: Thibault?
Thibault de Tersant: Yes. So the split -- Quintiq is a company doing sizable transactions with customers and so the split varies from a quarter to another depending on the number of last transactions in the quarter. So this is volatile at this current status of the company. So I don't want to give you a split that you're going to apply in your models because the consequence is, you'll probably be wrong. But in average, there is a recurring revenue coming from maintenance that is more as equal to licenses. The time to complete the transaction is really about getting the government approvals in Antitrust in Germany and Austria, so we expect that this will be done by September, if we don't get a second request from these authorities. And the pipes for ENOVIA in the second half is pretty good. It was a very good first quarter for ENOVIA. It is true that the second quarter was quieter, if you want. But when we look forward, there is a very good pipe, which is actually driven by the many go-rags[ph] and deployments in production that our customers are doing right now.
Tal Grant - UBS Investment Bank, Research Division: Okay. And so, were there any other bidders for the company, Quintiq or...
Bernard Charles: Well, I don't know if it's the right thing to address here. What I would say is that as the cofounder and significant shareholder, Victor is leaning with his team for the direction that makes this the most relevant direction for the future. That's why I think we are together and that's why I'm very proud that the prospective is an exciting prospective.
Operator: [Operator Instructions] Your next question comes from the line of Charles Brennan from -- sorry, the question has just been canceled now.
François-José Bordonado: Vivian, if there is no question, we -- Bernard will conclude the call.
Bernard Charles: Well, first of all, thank you very much for participating to this call. We had a great session in Paris, well attended this morning and I know we have addressed many, many questions directly with the people over the phone or in the room. Thank you, again, for your interest in Dassault Systemes and following us. I think, as you can see, many, many things are evolving in a very exciting -- it's a very exciting moment for the company. And once again, Victor, thank you for being with us here. We have so many great things to do. And welcome to all the team members from Quintiq and all the teams who joined us, basically, just in the last 12 months. So a lot of new talented people. See you soon and have a good summer vacation for those of you who are taking summer break. I think from outside, we're going to take some break, summer break. And talk to you for the third quarter. Have a good afternoon.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all now disconnect.